Operator: Good day, and thank you for standing by. Welcome to the Q1 2023 SP Plus Corporation Earnings Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference call over to your speaker for today, Kris Roy, Chief Financial Officer. Please go ahead.
Kris Roy: Thank you, Felicia, and good afternoon, everyone. As Felicia just said, I'm Kris Roy, Chief Financial Officer of SP Plus. Welcome to our conference call following the release of our first quarter 2023 earnings. During the call today, management will make remarks that may be considered forward-looking statements, including statements as to the outlook and expectations for 2023 and statements regarding the company's strategies, plans, intentions, future operations, and expected financial performance. Actual results, performance and achievements could differ materially from those expressed or implied due to a variety of risks, uncertainties, or other factors, including those described in the company's earnings release issued earlier this afternoon, which is incorporated by reference for purposes of this call and available on the SP Plus website and the risk factors in the company's annual report on Form 10-K and quarterly reports on Form 10-Q and other filings with the SEC. In addition, management will discuss non-GAAP financial information during the call. Management believes the presentation of non-GAAP results provides investors with useful supplemental information concerning the company's ongoing operations and is an appropriate way to evaluate the company's performance. They are provided for informational purposes only. A full reconciliation of non-GAAP financial measures to comparable GAAP financial measures were presented in the tables accompanying the earnings release. To the extent other non-GAAP financial measures are discussed on the call, reconciliations to comparable GAAP measure will be posted under the Regulation G tab in the Investor Relations section of the SP Plus website. Please note, this call is being broadcast live over the Internet and is being recorded. A replay will be available on the SP Plus website shortly after the end of the call and will be available for 30 days from today. I will now turn the call over to Marc Baumann, our Chairman and Chief Executive Officer.
Marc Baumann: Thank you, Kris, and good afternoon, everyone. First quarter results represented a strong start to 2023, and we made significant progress in a number of areas that support both our full year guidance, as well as our longer-term expectations for accelerated growth. In essence, our pivot toward technology-related growth is working. Gross profit increased at a double-digit rate in both our Commercial and Aviation segments, demonstrating the traction we're gaining across the three strategic objectives we outlined last quarter. And let me recap those for you now. First, we strengthened our leadership position in the first quarter by doing exactly what we said we would do, namely bringing innovative technology solutions and superior operations to existing and new clients. Our Commercial segment gross profit increased 14% in the first quarter, underpinned by strong metrics that align with our strategic goals. Notably, same location gross profit in our Commercial segment increased considerably in the first quarter, reflecting success in deploying our Sphere technology solutions across our existing locations, cross-selling and adding new services. At the same time, we saw increased business activity across many of our verticals, particularly hospitality, residential and also the business and commerce vertical, which includes office buildings, retail mixed-use complexes, as well as stand-alone parking facilities. We maintain a location retention rate of 93%, which we believe is the best in our industry. And we were very successful in bringing on new business, adding 71 net new locations in the Commercial segment in the first quarter and reinforcing our market leadership by differentiating our offerings through technology solutions and superior service levels.  Our Aviation segment gross profit increased 11% as travel activity continues to increase and consumer behaviors favor the utilization of our services as passengers travel. Namely, we're seeing more travelers are driving to airports rather than utilizing rideshares or taxis and the average length of stay is longer, as international travel is returning.  As airports and airlines deal with record levels of travel and strong demand for international travel in the midst of infrastructure improvements, our solutions that optimize parking utilization and rates and improve the traveler experience are more important than ever. The level of proposal activity for parking management solutions and luggage handling services, such as curbside concierge and remote airline check-in services is stronger than it has been in recent memory. Second, we continue to make progress in our objective of expanding our addressable market and realizing cross-selling synergies. In the first quarter, 42% of the new locations that we added in our Commercial segment represented deployments of our stand-alone Sphere technology solutions without any boots on the ground, a clear indication of the appeal of our offerings and how our investments in technology have increased our addressable market. In Aviation, our AeroParker acquisition, which was completed in October of last year, opened up the international market for SP Plus and substantially increased the number of airports at which we perform services. We're working together with AeroParker on developing joint offerings and have made progress in this area recently that gives us confidence that we'll be able to capture the significant revenue synergies on the horizon. The third objective we spoke about on our last call was to leverage and monetize our technology investments. SP Plus is leading the digital transformation of the parking industry and our investments in technology have provided us with a clear competitive edge. We processed 4 million transactions in the first quarter of 2023 on SP Plus enabled technology platforms deployed across airports, on and off-street parking locations, event venues and the like, and that's up more than 20% from the fourth quarter of 2022. And our technology solutions are adaptable to a broad range of operating situations to meet both consumer and client needs. Additionally, technology is poised to double its contribution to gross profit in 2023, compared to 2022, and this puts us on track to achieve our goal for technology solutions to contribute more than 10% of our gross profit by 2025. In summary, we're very pleased with our first quarter performance and our execution on the strategic objectives we laid out a few months ago. Our past and current investments in technology and excellent on-site service levels have enabled us to gain share and to significantly expand our addressable market, two areas that support our expectations for 2023 and beyond. I'll now turn the call back over to Kris for a financial review. Kris?
Kris Roy: Thank you, Marc. I am pleased to report on our strong start to 2023, which positions us to achieve our guidance for the full-year. Given that our GAAP financials are presented in the release, I will elaborate on our adjusted results as is my usual custom. 2023 first quarter adjusted gross profit, which excludes depreciation, restructuring and integration costs, increased 14% year-over-year to $58.4 million, driven by significant growth at same locations, new business wins, and the deployment of technology solutions. This strong performance was broad-based as evidenced by double-digit growth in both our Commercial and Aviation segments. As we noted last quarter, we've been making investments in strategic initiatives and technology innovations to support our 2023 growth, as well as our expectation for sustainable high single-digit gross profit growth beyond this year. This led to first quarter adjusted G&A, excluding restructuring, integration, and other costs to be $29.3 million, compared to $24.4 million in the first quarter of 2022. First quarter 2023 adjusted earnings per share were $0.58 compared to $0.60 in the year ago first quarter, primarily due to higher interest rates and higher D&A from capital investments, mostly in technology. First quarter 2023 free cash flow was $300,000 compared to $23.8 million in the year ago quarter. As a reminder, the 2022 first quarter benefited from the receipt of a federal income tax refund of $20.5 million. So 2023 first quarter free cash flow is more consistent with our historical trends. For the full-year, we anticipate free cash flow of $60 million to $70 million or approximately ]$3.00 per share] [ph] to $3.50 per share. 2023 free cash flow at the midpoint is 35% above 2022 levels adjusting for the tax refund. This free cash flow guidance also anticipates higher levels of capital expenditures, as we'll continue to invest in technology. Our strong cash generation, together with our $600 million credit facility, provides us with ample flexibility to fund our capital allocation priorities of investing for organic growth, acquisitions and share repurchases. To that end, during the first quarter of 2023, we repurchased shares totaling $10.4 million. Based on our current visibility, we're pleased to reaffirm our full-year guidance. More specifically, we still expect full-year 2023 adjusted gross profit to range from $240 million to $260 million, 11% above the 2022 level at the midpoint. Adjusted EBITDA is expected to range from $125 million to $135 million or 11% ahead of the 2022 at the midpoint. And we continue to expect our adjusted EPS in the range of $2.70 per share to $3.20 per share, approximately 6% above 2022 levels at the midpoint. Now, to help guide you and how we are seeing the rest of the year, keep in mind the following details. First, as we continue to successfully deploy our technology-enabled solutions at both existing and new locations, we expect to see less seasonality in our business than we have historically experienced, with progressive increases in gross profit that are more pronounced in the second half of the year, which is a departure from our historical seasonality trends. Second, on the G&A front, as we have discussed, we continue to expect 2023 G&A to be approximately $15 million higher than 2022, reflecting our investments to support our accelerated growth, as previously mentioned. Pacing wise, we believe Q1 adjusted G&A is a fairly good run rate for the remainder of the year and expect to leverage our G&A investment throughout the year, thus increasing our gross profit to EBITDA conversion or said in other way, improve our EBITDA margin. With that, I'll turn the call back over to Marc.
Marc Baumann: Thanks, Kris. We executed very well in the first quarter and continue to be very encouraged by the growth prospects we see on the horizon. In addition to supporting our ability to achieve our full-year 2023 guidance, we believe SP Plus' first quarter performance demonstrated our new growth trajectory, one that we expect to continue beyond 2023. We have the scale, capabilities, and commitment to capture the substantial opportunities in front of us, which supports our confidence in growing gross profit at a high single-digit rate beyond 2023 and increasing EBITDA and EPS at a greater rate. With that, I'll turn the call over to the operator to open up the Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Tim Mulrooney from William Blair. Time, your line is open.
Tim Mulrooney: Marc, Kris, good afternoon.
Kris Roy: Good afternoon, Tim.
Tim Mulrooney: Just on that last point, Kris, your gross profit guidance, just to make sure that I'm understanding that correctly about the seasonality. Are you saying that you expect gross profit dollars throughout the year to kind of improve sequentially throughout the year versus the second quarter being the highest or were you talking about growth rates being higher in the back half of the year?
Kris Roy: Yes, Tim, I think I'll maybe touch on two points there. One, I think your first comment is right. I think as we look at the rest of the year, I would see the back part of the year being a little heavier in terms of GP contribution or gross profit contribution. I think as you look at our business and the growth that we expect, I think you're going to see less seasonality from a gross profit perspective. And so, I think typically, you'll see Q2 being maybe our strongest quarter. I think that may shift as we continue to grow out our business and see some improvements just in terms of what we're thinking we can accomplish in terms of growth. So, I think if you look at it sequentially, I would see that kind of ramping up over the rest of the year.
Tim Mulrooney: That's helpful, Kris. And just so I understand, is that a function of deploying technology and that becoming a higher piece of the business and more recurring or what's driving that change?
Kris Roy: Yes. I would say that seasonality is being maybe a little bit muted by the technology and the technology fees that are coming. I think also – and I didn't comment on this necessarily in the [prearranged remarks] [ph], but I would say is that we have a really strong new business pipeline. So, I see some robust kind of new business wins, as we continue out through the rest of 2023.
Tim Mulrooney: Okay. That’s really helpful. Thank you. Sticking on the technology point, those, I guess, 30 or so new commercial locations, where you've deployed Sphere technology solutions in the quarter without a parking management contract. Can you talk about how those might impact the broader financial model? Just as I'm thinking about modeling out the business, are those lower on a gross profit dollar standpoint or are they higher margin? Any additional thoughts you could provide on the stand-alone Sphere contracts, in particular, would be helpful?
Marc Baumann: Hey, Tim, this is Marc. And maybe I'll make a couple of comments on that. We've introduced two measures last quarter, as you know, one is around transactions and the other is around the fees that we earn from our platform. And the reason that we did that is that the transactions number is designed to illustrate the pivot from other modes of processing through the SP Plus platform. And some of those transactions are – create fees for SP Plus, some of them create larger fees, some smaller fees, and some are primarily benefiting our clients. So, it's really a measure of digital penetration and the pivot toward more technology. And so, when we're talking about the 4 million transactions and how that's 20% more than Q4 of last year, it's really talking about that broadly. Now when we talk about technology fees, that's clearly a reflection of our focus on monetizing our investments in technology and the technology platform and what we can drive for SP Plus. And as we indicated in our comments last quarter, those fees generated about 2% of gross profit in 2022, and we expect that to be about 10% in 2025. So that's clearly going to grow, as a percentage of gross profit, even though the overall company will be growing as well. So clearly, that's going to be a larger contributor to gross profit in 2025 than it was in 2022. And I think we've seen nice progress on that. And in my comments, in my prepared remarks were really that we expect that the fees – the fee dollars going into gross profit in 2023 to be about double what they were in 2022, which I think, to us, illustrates that we're going down the track that's going to get us to that 10% level by 2025.
Tim Mulrooney: Got it. Thank you. And could you guys give an update on the location count for your gateless and gated solutions?
Marc Baumann: No, we didn't. And I don't know if we have that with us, But we clearly – we obviously, as we talked, we added 120 new locations in our Commercial segment, but I don't think we had a breakout between, which are gated and which are gateless.
Tim Mulrooney: No worries. I was just curious. One more for me on the tech. Just curious if you had any early success with the highlight here with that AeroParker acquisition, deploying their solution here in the U.S. I know advanced reservation is more popular in Europe, but thinking that over time, you'd be able to deploy that here as well, maybe?
Marc Baumann: Sure. I think that, and of course, you may have noticed that we've talked about the opportunities with AeroParker in our comments, and we have a handful of airports already, where SP Plus was already providing parking management services, where the Sphere platform was not in use, we were using the client's existing technology and where we have presented the AeroParker capabilities to the client along with the AeroParker team, and that client has made a decision to go forward with AeroParker. So, I think that is illustrating to us early on that there's a strong demand and interest in AeroParker by the existing portfolio of airport clients in North America, and we expect to continue to see additional decisions made to bring AeroParker into that existing client base. At the same time, AeroParker is responding to RFPs on its own within North America, as well as in Europe and expects to add airports that – where we are not necessarily the operator, SP Plus, although we would hope to be in the future.
Tim Mulrooney: Got it. Thanks so much for taking my questions.
Kris Roy: Thank you, Tim.
Operator: One moment for the next question. The next question comes from the line of Daniel Moore from CJS Securities. Daniel, your line is now open.
Daniel Moore: Thank you. Good afternoon Marc and Kris. Thanks for taking the questions.
Kris Roy: Hi, Dan.
Daniel Moore: Appreciate the color as well as far as the cadence is concerned. Very good to see the net location growth accelerating in Commercial. And Kris, you alluded to expecting strong new business wins. So, is this sort of the new normal? Was it a particularly good quarter in terms of signings? Just trying to think about that going forward. I'm wondering if there's any common themes in the net new business, aside from Sphere being a high percentage, are there particular verticals, customers, geographies, where it's really resonating? Thanks.
Kris Roy: Yes. Okay, Dan. Well, we hope it's the new normal. I mean, we certainly gave guidance for 2023 that has us growing gross profit at a much faster clip even than we did in 2019, which was a record year for the company, and we clearly reiterated today our confidence and expectations in our guidance for 2023 and we've reaffirmed our belief that we can grow gross profit in the high single digits beyond 2023. So, we need to have a new normal, and we expect to have a new normal that's being driven by technology through the expanded addressable market, but also bringing technology to our existing operating locations and bundling it together with our offerings of our operating services. So, I think, we're – that's our belief and expectations for this year and beyond. In terms of the verticals, I think that it's a continuation of what we saw last quarter. Retail mixed-use and hotels and surprisingly, again, office buildings continue to see places where we are adding locations. I think the appeal of the Sphere technology as a way to optimize revenue and reduce friction and enable people to have good experiences when they're using the facilities to reduce, in some cases, staffing and create efficiencies that way, I think, are resonating as people continue with the hybrid mode of working. We've also – see growth opportunities taking place in both the hospital areas and universities as well. So, I think our broad-based platform, which is not a one size fits all, but is designed to provide solutions for individual verticals to help those clients optimize are really gaining some traction.
Marc Baumann: Dan, the only other thing I would add is 71, that's a really good number for us from a net basis. I think if you look at – we have given this metric a couple of times before, but on a TTM basis, we're up 165 locations. So, that's probably the best that I've seen in more recent times. I think the best we had after that was 107 that was just a couple of quarters ago. So, 165 on a TTM basis is a really strong number for us.
Daniel Moore: No doubt. Okay. Maybe switching gears a little. In terms of, I'll call it bags, but curbside concierge in markets where it is being deployed on a consumer pay basis, just talk about anecdotally the uptake rates that you're seeing? I saw in Chicago pretty prominently displayed there and offered. How is that being accepted, and then talk about the general level of dialogues with additional airports and other customers? Thanks.
Marc Baumann: Sure. Glad to do it. Well, I think there's a couple of things that are going on in, some of which are pivoting initially a more interesting and exciting direction for us than a quarter ago when we talked about it. First of all, for the curbside concierge product, where the consumer is paying, we now, I think, at close to or maybe we are now just over 40 airports with the original airlines. So that's a penetration that's way beyond what we expected. The results are very, very positive. One of the measures of that is whether people have to pay to check their bag at the curb? Are they going inside to be able to check their bags for free? And that is not happening. So the convenience factor of our proprietary technology and the quality of service that we're providing at the curb is clearly resonating with the customers and travelers of that airline. A second airline is piloting it right now and that pilot has gone very, very well. It's met the same expectations. People are paying for that service and are finding it convenient. The customer surveys are very encouraging, and we're hopeful that, that airline will soon make a decision to let us roll that out to additional airports. Now, what's separately is happening and this has surprised us a little bit and that's a number of airports are becoming so concerned about congestion themselves that they're in conversations with us now about the sponsored model. And that was the way these products were sold pre-pandemic, which is that the airport would pay for it and then they might charge back individual airlines or recover it in other ways from the airlines themselves. And so, we now have a, we'll call it a consortium model, which is a sponsored model that is not paid by the consumer, but it's a free service to the traveler. We've now started that up, I think, at one and maybe there is another one on the way. So, I think, where we might have felt coming out of the pandemic that the future for checking in on the curb and reducing that friction might be solely consumer pay model. I think we're now seeing circumstances where we're going to see both taking place depending on the circumstances. And the other thing that's also very encouraging is that the cruise lines have now come back to full strength post-pandemic and so whereas last year, we had a partial cruise season in Alaska and Seattle. That's going to be a full cruise season this year, and we will be providing the sponsored model baggage handling at the Port of Seattle. And the cruise lines in Florida, as they're planning for next year's cruise season are now saying, we'll be back at full strength, and we're going to need your help in handling baggage. So, I think we're seeing strong demand for those capabilities and we're expecting to see that continue as we look forward to the end of this year and into next year.
Daniel Moore: Really helpful, Marc. Maybe sneak one last one in and I'll jump out. But in terms of the variable pricing capabilities that you are introducing and also organically and acquired, just how critical is that today in discussions with new potential customers compared to maybe 3 years, 4 years ago? How is that, you know is it moving up the list in terms of what they're pulling, demanding, et cetera? Thanks again.
Marc Baumann: Sure. Well, I think, certainly if you're talking about just basic yield management, where there's the ability to optimize pricing, we're definitely seeing increased interest in that. And I think one of the things that's been learned is that for people that are planning ahead for their parking, whether it's to – I'm going to park for the day somewhere or I'm going to park in an airport to take a trip, those people can be influenced and incented to make a decision about where to park based on what the price is. So, our quantitative team that have extensive experience in the airline and hotel industries and develop analytical tools and models to help us do that, put us in a position to recommend to clients, what we think the optimal pricing model should be for their particular facility. So, I'm assuming that's what you're asking about. But if not, Dan, if you want to clarify, I will be glad to clarify my remarks, too.
Daniel Moore: No, it's a little bit of a generic question, but just seeing that you've got more of those capabilities, how critical they're becoming. But that was really helpful and I'll jump out with any follow-ups.
Marc Baumann: Sure. So, maybe just to add on, I think what we're seeing certainly when people are putting, whether it's a parking management operation out for bid or increasingly, we're seeing people putting out – start alongside that bids for technology and digital marketing services. And so clearly, I think, particularly in the aviation space, but also in the municipal space and with many of our larger commercial clients, they are recognizing that digital marketing strategy. The ability to optimize revenue and drive demand to a particular facility can make a huge difference in the financial performance and the outcomes there. So clearly, some of the technology is used to reduce friction and create a very convenient service for people that are moving through the facility. But at the same time, our client base is looking to drive revenue and demand. And I think that's where our technology, but also our digital marketing expertise really come to bear to help us sell those services.
Operator: Our next question comes from the line of Kevin Steinke from Barrington Research Associates. Kevin, you line is now open. 
Kevin Steinke: Thanks. Hey good afternoon Marc and Kris.
Kris Roy: Hi, Kevin.
Marc Baumann: Hi, Marc.
Kevin Steinke: I just wanted to follow-up with another question about the seasonality comments you made. Are you trying to say that this muted seasonality or change in the seasonal trend is sustainable beyond 2023 or do you think that's just more of specific to this year?
Kris Roy: Kevin, it's Kris. I wouldn't say it's specific to just this year. I think as we look at our growth expectations and our thoughts around what we can achieve for the foreseeable future here just in the more immediate term is at high single digits. And so, I think you're going to continue to see that seasonality be a little more muted because of the growth that we're expecting in the business.
Kevin Steinke: Okay. Yes. I mean, I noticed that your typical seasonal trend in the first quarter is to have a sequential decline in gross profit from the fourth quarter. You reversed that trend here. So, maybe it's too early to tell, but would you still expect some seasonality associated with the first quarter or you think you could kind of grow through that?
Kris Roy: I still think you're going to probably see the seasonality impact Q1. Typically, that's kind of the – it's a colder timeframe in terms of most of the North American regions. And so, you see typically kind of less travel patterns. But I think, as we continue to see the rest of the year, I think you're going to see that trend, kind of continue to grow throughout the year. And so, you'll see just less of that muted seasonality on a go-forward basis. I think if you were to just kind of pin me down a little bit, I think I would, kind of say that Q4 could be what we look to as a strong – maybe our strongest quarter from a gross profit contribution perspective.
Kevin Steinke: Okay. Thank you. That's good color. Just also wanted to follow up on the locations that you added that were standalone, where you deployed standalone Sphere technology solutions. I don't know if you could give us some examples of the types of deployments you're doing there. You've talked about in the past the example of something as simple as putting up signs in a retail parking lot, directing a consumer to pay for parking via a QR code. Is that kind of a predominant type of technology solution, standalone solution you're rolling out? Or any other examples or just variances in the type of solutions you're able to deploy on a standalone basis?
Marc Baumann: Yes. Well, for sure, putting signs up and giving people the option to scan a QR code or text to pay makes a lot of sense from a convenience point of view, and it's fairly easy and inexpensive to deploy. So, that is something that we continue to push on. We're a long way from saturating that market opportunity because those signs, as we've talked before, can be deployed in places that have had free parking. And they're simply put in place at spaces that are close to the door or maybe a little more convenient for people and they're willing to pay something to access those spaces. But the other thing is that we've talked before is that as we were acquiring DIVRT last year in a company that we have worked with for many years prior to acquiring it, we're really moving down a track of providing a gated solution that can be used in those environments where we want to control access, where people would need to move a gate up and down in order to get in and out. And traditionally, that was done using one of many different types of parking equipment that's out there. Often, people would be pulling a ticket out of that equipment and either handing it to a cashier to pay or going to a pay station. And what we are beginning to deploy now is our own technology offering that is a ticketless option, and it enables people to use their smartphone as a credential to be able to open the gate, start a parking session and then on their way out, obviously, the gate can be opened as well. And in many cases, we're using LPR so that after the people enter in their credit card information, they will be recognized in future situations and they don't have to enter anything. They'll simply drive up and the gate will go up. And when they're leaving, they will drive up and the gate will go up and they will leave. That is about as low friction as you can possibly get. So, we are in the early phases of starting to deploy some of that technology and from a cost-benefit point of view to our potential clients, it stacks up very well in the marketplace for equipment. And in many cases, we are able to receive a transaction fee off of the transactions that are generated and in some cases, deploy that equipment at a very low cost, a very low commitment to the client. So, we think that particular option in a gated environment has a long way to run, and we expect to continue to drive growth in standalone locations where we don't have boots on the ground using that technology, as well as the sign technology that we talked about at the beginning.
Kevin Steinke: Okay. Great. That's good color. I think most of my questions have been answered at this point. So, I will turn it over. Thanks.
Kris Roy: Thank you, Kevin.
A – Marc Baumann: Thanks, Kevin.
Operator: [Operator Instructions] Our next question comes from the line of Marc Riddick of Sidoti. Marc, your line is now open.
Marc Riddick: Hi, good afternoon everyone.
Kris Roy: Hi, good afternoon.
Marc Baumann: Hi, Marc.
Marc Riddick: So, a lot of my questions have already been asked. I just wanted to touch a little bit on acquisition appetite and priorities. I know you've talked about looking at technology offerings. I was also wondering if you can maybe give us some update maybe on that. But also is there any appetite as far as looking at maybe some of the competitive dynamic regional players? Are there opportunities that are emerging there? And maybe what the valuations look like, maybe relative to maybe 3 months, 6 months ago? Thanks.
Kris Roy: Yes, Marc. This is Kris. I think if you look at just from an acquisition side, I think, certainly, there's – we're continuing to keep our eyes and ears open in terms of opportunities that are out there in the marketplace. I think that could be either on the technology side and as we look at what are the things that we need to do to continue to advance our technology solution.  Certainly, there could be some opportunities there. As part of that, I think what you always evaluate is, how do we think about it in a buy versus build. And so, how do we try and generate the best and highest use for that technology, but also look at it from an ROI perspective. So, there's a bunch of considerations there. As it relates to, kind of just operating businesses, certainly, we continue to look and keep our eyes open. I think from an acquisition side, we've always said that we're always open to acquisitions. So, continue to keep our eyes and ears open on that. And then in terms of just, kind of capital allocation, I think where we've landed is a really good spot relative to, kind of EBITDA to debt. And we've always said that 2x to 3x is, kind of our sweet spot. So, we feel good with where we're landing for Q1. I think if you look at kind of capital allocation priorities, certainly, acquisitions, as I've mentioned, maintaining that kind of good coverage from an EBITDA to debt perspective, looking at share buybacks in terms of potential opportunity to deploy capital back to shareholders. So, I think we've mentioned that all of those strategies are on the table in terms of capital deployment, I think that still continues.
Marc Riddick: Great. And then as a quick follow-up, I was wondering what your thoughts are on, sort of operating and sort of the – and particularly, I'm talking about the office building space now as far as the pace of return to work activity. It seems as though we're kind of hovering and kind of stuck in the range of that 50%, kind of occupancy of nationally, I guess. But I was wondering if you could talk a little bit about that and operating in that environment. It certainly seems to be relatively a favorable thing. But maybe you could maybe give us an update on maybe what you're seeing there and just, sort of maybe if you have any particular expectations going forward on that? Thanks.
Marc Baumann: Well, I think, Marc, as I maybe implied and maybe I'll state it a little more clearly now in my earlier remarks, we're adding office buildings. And I think that's because we believe those clients have recognized that in an environment we're in, which is really a hybrid commuting environment, I think we feel that and they feel that, that's the new normal, that in that environment, you better be employing cutting-edge technology that reduces friction, creates a great experience for both visitors and tenants of the building that minimizes costs and keeps the overhead down as low as possible. So, I think that will show in the form of good demand for our services and what we can bring to bear in those environments. I do think that there seems to be a continued, sort of return to office taking place. So, while we've kind of gone from one extreme to the other during the pandemic and coming out of it, I think there is a recognition that having people together live can give a competitive advantage to a business. They're going to have more interactions, more creativity, more problem solving. They can move faster on new initiatives. And so, if anything, the people we're talking about seem to be pointing in the direction of more time in the office and not less. So, I think that will be a good driver of demand for office buildings in general. But I think also, for us, one of the things that we're seeing for our office clients, it may be that office occupancy is only in a – it's a 50% plus and, of course, it varies by city. People have not returned to mass transit. And rates on Uber and ridesharing are not what they were pre-pandemic. And so, people have gotten used to commuting by car, and that's what they're continuing to do. So the volume of cars in many of our facilities has reached or exceeds pre-pandemic levels. And I think that's just a function of the fact that people are back at work, but also that people are more likely to go to work by a car. It's the same thing we talked about in the prepared remarks at airports. We're seeing very strong demand at airport parking. And of course, leisure travel is back to pre-pandemic levels. I don't think business travel is quite back there. But parking volumes are certainly ahead of pre-pandemic levels because of people taking the car rather than coming to the airport in other forms.
Marc Riddick: It is very helpful. Thank you, Marc.
Marc Baumann: Thanks, Marc.
Operator: At this time, I would like to turn it back over to Marc Baumann, Chief Executive Officer.
Marc Baumann: Okay. Thank you. And I want to just thank all of you for joining us today. We really appreciate your interest in SP Plus and look forward to speaking with you again next quarter. Take care now.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.